Operator: Thank you for standing by. This is the conference operator. Welcome to B2Gold Corporation's Second Quarter 2024 Financial Results Conference Call. As a reminder, all participants are in a listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity for analysts to ask questions. [Operator Instructions] I would now like to turn the conference over to Clive Johnson, President and CEO of B2Gold. Please go ahead.
Clive Johnson: Thank you, operator. Welcome everyone to the conference call to discuss the results -- Q2 results or financial results for B2Gold. We had some very positive results from the quarter, and past results from Mike Cinnamond, our CFO, is going to walk us through that. We are also going to talk about some of the other issues that we cover in the news release. We are going to get an update from Bill on operational update from both the situation in Mali in terms of production. Then, we'll talk about an update on Goose. Just a couple of points maybe to start us off. We have had an excellent track record as [Indiscernible] I think is aware of operational performance for many years now. We did have an excavator tip over outside, which is very unusual that happened and Bill will talk in more detail about that. That was unfortunate. That's caused us to re-guide production for this year down about 50,000 ounces. That has not gone away as we move into next year. So, that's why we guided and you will hear more about that. And Bill will tell you what happened in the excavator and how we've taken steps to ensure that that's very unusual occurrence cannot have it again. We'll talk about that. To get back to our excellent operational performance, we'll talk about how we're already starting to see tonnages come back with the replacement excavators et cetera. In terms of just a quick update on Mali and we'll get a chance to talk with us with some of your questions, I'm sure. We are in the -- believe to be in the final stages. We believe of discussions with the government of Mali to understand the full implementation of the 2023 Mining Code. So, we are, as I said, final stages of that. Those discussions are very shortly to be able to come out and announce. What that will do is that will trigger -- we hope the rapid receipt of a permit, exploitation permit for the regional areas where we want to begin trucking or down. As you've heard before, we've already built the roads, we're ready to go in terms of trucking ore down and that could add 80,000 to 100,000 ounces a year. That we do -- reaching an agreement with the government that will trigger that permitting process. The government assures that they want to see this happen, they very much want to see Fekola expanded. So, we're looking to get hopefully rapid response to getting an exploitation permit. No blasting, no trucking, slowly be sampling material of trucks and haul at 20 corners or less down to the Fekola Mill. The other thing to make sure people are still aware of us, there's tremendous exploration upside in Fekola complex. With the agreement with the government, we will immediately go back to an aggressive drilling program around $7 million of exploration drilling, up and down that complex, those are bricks turning right now and maybe also for the Fekola license. So tremendous expedition upside. And we did take an impairment charge, and Michael talks about that. But it's very important to note that the ultimate final value of the Fekola complex is very open with further exploration successes, and we're not talking about brand new -- there probably will be some new discoveries, but also expansions of known source of mineralization that we did so far. So, the full story, the life of the ultimate life of mine will continue hopefully to add some reserves. And the ultimate life of mine and the ultimate value therefore of the Fekola complex, we see to grow in value from that asset. I think with that, I'll turn it over to Mike to give us a review of the financial results. But maybe before I do that, I'll just talk a little bit about on the positive side. We've had a great track record in this company for a long time, including from [Indiscernible] for that as being good operators, good construction, exploration and then managing things like political risk, et cetera. So, we've got a great track record and one thing we're very good at is taking on challenges. So, yes, we have some challenges from this. This year, we've always said this would be a transitional year. We knew production would be lower. We have a lot of capital expenditures as we've talked about before, including, of course, the Goose construction. But this is very much still a transitional year. We remain in a very strong financial position. And as we look forward, we're looking forward to continuing to grow this company based on developing our existing assets such as the expansion of Fekola through trucking. The Goose mine coming on at mid, so Bill will talk about how well construction is going coming on mid next year. We're producing on an annualized basis about 320,000 ounces a year. And then, when you look at the growth profile a little bit more, we've had a positive PEA. We're doing a feasibility study at Gramalote, which should be done by the middle of next year. We're getting quite encouraged by that project. I mean, if that turns into the next mine, it fits nicely after Goose potentially, and if the feasibility is as positive as we're hoping, as the PEA was, then that ultimately could add another 240,000 ounces a year. So, there's about 650,000 ounces of growth in this company from existing assets. We don't have to go and do buy another mine. We don't have to go and make big discoveries. So that's a great growth profile and we continue. As we get through the challenges of this year, we will continue very much to focus on the opportunity to continue to grow the Company, through existing assets and putting them into production. And with that, I will turn it over to Mike to do some financial really good financial results and then Bill is going to give us an update, as I mentioned.
Mike Cinnamond: Thank you, Clive. Firstly, I'd say financially, it was a strong quarter. On the earnings side, after adjusting for one-time items, the Company generated $0.06 per share of adjusted earnings and definitely benefited from stronger average coal prices in the period. Operating cash flow bottom-line was $62 million after changes in working capital were $192 million before changes in working capital. Again, very strong results for the operations. As Clive mentioned or alluded to that, we did lower production guidance at Fekola due to equipment availability issues in the pit. And so, with that, we guide in production for the second half and for full year '24. We also looked at the cash cost and all-in sustaining cost for each of our operations. And overall, at a consolidated level, we ended up with no change to our consolidated cash cost. Operating guidance, we maintained that range of between $835 and $895 per ounce and that has benefited for one thing for sure through the year with lower fuel prices than we budgeted. And then for consolidated all-in sustaining costs, the reduction in overall production plus higher royalties through the year, as we enjoy a higher gold price resulted in a re-guide upwards for the consolidated all in sustaining cost range up to between $14.20 $14.80 per ounce. Clive did mention that we did take a non-cash impairment charge on the Fekola operations, that's based on our best estimate of how we think the 2023 Mining Code will ultimately be applied to the Fekola complex as we got more clarity on that through the intervening period with the issue of some implementation of freeze by the state and some ongoing discussions with the state. Then, as expected, spending in the Goose project picked up with the completion of the 2024 Winter Ice Road and transport of all the required materials to site to complete construction. And balance sheet wise, we continue to remain in a very strong financial position with cash and cash equivalents of $467 million at the end of the second quarter. It's a very small amount of debt related mainly to equipment leases. We do have the full amount, $700 million amount the available on our revolving credit facility line. And as previously indicated, we will be drawing some of that line as we roll into the final stages of completion of this year's CapEx program across all our sites and then completion of the Goose project. And so, we feel we've got lots of good amount of financial flexibility to do that and maintain our other growth initiatives around our portfolio and continue to fund healthy exploration programs to extend our mine lives at all sites. And that's what I was going to say on the financial side. So, with that, I guess I'll pass it over to Bill.
Bill Lytle: Thanks, Mike. Yes. So, on the operational side, I'll do the easy stuff first. Looking at Masbate, Masbate continues to perform at a world class level. I think everyone's aware. Still more than 2,000 days without an LTI, and very strong cash flows. Otjikoto, Otjikoto continues to also perform very well. Probably the excitement there is that we are preparing a PEA study that would be come out in kind of the middle of next year, which has the potential to expand the ounce profile through the existing life of mine through the early 2030s, and add ounces to the existing stockpiles. Fekola, let's see here. So, Fekola is down as you heard Mike say, and Mike and Clive talk about. One of the things we do need to point out is Fekola has historically had an excellent track record for producing ounces. In this particular case, there was, as Clive mentioned, an operator error, where an operator tipped over an excavator, which cracked the frame for the excavator. That is something that has been rectified. Certainly, we've given extensive training, retraining to all the employees on use of equipment. We see that as a one off, an unlikely event. That with the confluence of not really being able to get into some of the regional stuff, really is the cause for the delay. As Clive indicated, we haven't lost any ounces. They've just been pushed back. We're going to see -- currently, we've mined out the high-grade ounces in Phase 6. And we're going to see the high-grade ounces from Phase 7 starting to show up in Q4 of next year, so -- Q4 of this year. So, you'll see most of those ounces transferred into next year. Just the mine plan shifts for Fekola by about a quarter. Let's see at Goose. So, at Goose, we are having operationally a very good run there. Last time, we talked, we were working on the Winter Ice Road, the 2024 Winter Ice Road was successfully completed. We brought down all of the materials necessary to complete the project. We expanded the camp to more than 600 people, which allows us to really get on top of making sure we can bring this in on time. The tanks which are necessary at the MLA are complete. We'll be starting to fill them up this month. The tanks on-site will be done in kind of Q3, Q4. We don't see an issue there. The concrete, which is critical to get poured during the summer season. We've got currently more than 75% of the concrete done. And certainly, by Q3, we'll be well over 90% on the concrete. All the steel is going up very well. We're currently working on electrical. And really, the takeaway is for most disciplines, we are either at where we need to be or ahead of schedule, which allows us really to produce gold in Q2 2025. So related to the cost estimate, I know that we had talked about putting it out in June of this year. Maybe that was a bit ambitious, probably on my side. When you think about what the actual schedule was for seeing what had come down the road. So, as you know, the road ended, the Winter Ice Show ended in May. We've now got everything opened up and we're taking a look at what the previous owner had actually purchased. I think everyone's aware that they were cash strapped. And what we're doing now is just making sure that what has been ordered meets what we need to run kind of a B2Gold world class project. Typically, this is not our standard fare. What we like to do is take over a project during either pre-feasibility or at feasibility level, have a look at it and redesign it and go ahead and make sure that we've ordered everything initially to the B2 standard. So, we certainly see, we've got our head around what is there. We're working on what that means financially. And there's a lot of moving parts, but we certainly see by the first part of September, we'll be able to deliver a concrete number into the market. And then, I guess maybe the last thing is Gramalote. We are continuing to work on a feasibility, which will come out in the middle of next year. We are currently staffing up all of our teams and beginning to work on that. Clive, I don't know if there's anything else you'd like me to talk about?
Clive Johnson: Maybe just a quick update. It's in the initial spill about where we are right now in terms of shipping and stuff for getting everything on-site for next year?
Bill Lytle: Yes, that's actually a very valid point. So, right now, we're in the middle of commencing the sealift for 2024. Currently, with 11 ships, will be sent to the MLA. That includes more than 85 million liters of fuel and enough cargo to basically get us through the 2025 season. So, everything remains on track. The B2Gold Logistics team is performing beautifully, and we don't see any issues with the sealift. We'll start receiving cargo in about 10 days.
Clive Johnson: And people want to get a visual view of all of the on our website, there's some links to go to, to look at some great job that you're showing the progress of construction. It's been essentially remarkable the pace at which our construction team can build things, so that's going to be extremely well. Thanks, Bill. I think with that, we'll make sure you have lots of questions for us. So, operator, we'll open up to questions.
Operator: We will now begin the analyst question-and-answer session. [Operator Instructions] The first question comes from Wayne Lam with RBC. Please go ahead.
Wayne Lam: Yes. Thanks guys. Just wondering, just on the impairment charge taken this quarter. This is the second impairment taken now in relation to Fekola over the past year for almost the same amount. Outside of the increase in the discount rate, can you just talk about some of the factors involved in taking those two impairments in succession and the additional concessions being made in the negotiations? And then, just with the implementation decree having been finalized now, are you guys pretty confident that, a deal is imminent? And are you able to provide a more definitive timeline now for completion?
Clive Johnson: I would say, we're very confident in the near-term here of reaching the agreement of satisfaction to all stakeholders. We, of course, as you probably understand, we can't go into details about negotiations, et cetera, that wouldn't be appropriate or useful. In terms of the impairment, Mike, do you want to talk a little bit about that?
Mike Cinnamond: Yes. I think we'll really keep it to the level that we were required to look at whether we have impairment indicators and then use our best estimates at each reporting period. So, they did put out some new clarification and implementation decrees and we've had ongoing discussions. I think we're close. We think we've reflected those items that we believe will impact carrying value in what we booked this time around, but we don't want to discuss in detail I think until we finalize our discussion.
Clive Johnson: I think it's probably maybe quite clear that, the fact that, we actually looked at it and took the impairment charge, which suggests to you how close we are to reach we think how close we are to reaching a final agreement.
Wayne Lam: Okay, got it. Fair enough. And then maybe just wondering on the updated ASIC guidance at Fekola, does that include stripping planned for the regional ounces next year, or is that going to fall under non-sustaining CapEx? And then, do you still anticipate costs coming down next year, as per the 2024 mine plan, or should we be thinking about something in the similar range to this year, given the amount of capitalized stripping, and underground development need to be done?
Clive Johnson: I can comment certainly for starters on the stripping for regional. There is no regional production included in these numbers, nor any costs related to them for this year. That re-guide number doesn't assume the stripping campaign. And then, as we look forward, I don't know, Bill wants to talk about the mine plan for Fekola, we haven't put out any guidance for next year yet on the cost side.
Bill Lytle: Yes, we haven't put out any guidance for cost, but I certainly think that, we've been very open that the underground will come in Q2 of 2025, and we are expecting regional ounces next year. As Clive said, it looks like an agreement is imminent. So, we are ramping up as we've been very open. All of the work necessary to develop that regional project is already done. The roads in, the infrastructure is in, all we need to do is, we'll have a quarter of pre stripping will go into production.
Wayne Lam: Okay, got it. And then, maybe at Back River. Can you just talk about what the remaining large CapEx items are outstanding that's been driving the delay in the review? And is it still the case that most of the large capital items have already been spent and most of the increase with the update is going to be driven by labor and logistics? Or, are there still equipment items that need to be replaced in relation to Bill's comment on sorting through some of the historic Sabina stuff?
Clive Johnson: Yes. So, the answer is, it's tough really to say exact -- I don't want to come out and say really kind of where the numbers are exactly because I don't want to lie. I don't want to mislead anybody. We're in the middle of checking through that right now. What I will tell you is that, most of the major things are purchased and on-site, right? So, it is it is really a question of kind of picking around the edges. Don't forget, we've got that extra quarter now, which does have an impact. And we're just working through that. So, you got to give me like 30 days.
Operator: The next question comes from Don DeMarco with National Bank Financial. Please go ahead.
Don DeMarco: Thank you, operator, and good morning, Clive and team. First question, Bill, can you give a little more color on the guidance increase rather the 2025 outlook? Of the 90,000 that's added, how much is from Fekola deferrals from ‘24, the truck regional ore and also or the Fekola Underground, those three different buckets? How did that move the needle on 2025?
Bill Lytle: Yes, I think, Peter, you're in the room right, it's probably better for you to answer this question.
Peter Montano: Yes. Thanks, Bill. Yes, as far as 2025 goes with the deferral of the ounces, basically it's just sliding the high-grade zone from Phase 7 back. So, we're still revising those mine plans now to see exactly what it is, but we're looking more at a replacement, not really an up shift in 2025.
Don DeMarco: Okay. I see. So, you're just kind of replacing with higher grades, but what you have for Fekola Regional or for Fekola underground, as Bill mentioned, starting in Q2 that just remains unchanged?
Bill Lytle: That's right. Yes, that's we're not changing anything as far as those goes. But on a development basis, those projects remain unscathed.
Don DeMarco: Okay, perfect. And there was no regional trucked ore in 2024 guidance. Is that correct?
Bill Lytle: That's correct. That's correct.
Don DeMarco: Then just to this equipment availability issue. It's good to hear this being addressed. But when do you expect it to fully be addressed? And is there any risk to that time line? We saw Fekola cost actually improve in Q2. So, I guess the read through here is it's probably going to take a few weeks to get addressed, maybe we're going to see higher costs at Fekola in Q3. Is that fair to say?
Bill Lytle: Right. So, the first part of the question is, it already has been addressed. Basically, we brought forward we replaced the excavator. Of course, it took time to get it in and we brought forth another excavator from 2025. So, what we've seen kind of in Q3 so far is we have met or exceeded our production targets for most for both the month so far. And so, it already has been addressed. Now, it's just a question of how quickly we can catch up. And so, I'll let Mike talk about the cost.
Mike Cinnamond: Yes, I think the key thing on the cost side Don to remember there's two key components. One was we moved less tons because we had less equipment capacity. So, we're going to see a catch up you're right there as we as capacity comes back on the higher gross cost, but we also enjoyed close to 25% lower fuel costs at Fekola, and we see that continuing right now. So, there are some offsetting factors to starting to pick up some more of those tons. So, it will be a catch up, but we definitely fuel reduction is a locked and benefit versus what we originally budgeted.
Operator: [Operator Instructions] The next question comes from Francisco Costanzo with Scotiabank. Please go ahead.
Francisco Costanzo: Hi, Clive and team. Thanks for taking my question. Just asking here on behalf of Ovais Habib. I think most of the pertinent questions have already been asked and answered, but if I could just ask one for Mike. Given the challenges in Mali leading to the lower guide, can you speak to the integrity of the dividend, given the review of the budget and maybe speak to the liquidity as well, how you plan to fund project and the cadence of the boring on the liquidity and stuff like that?
Mike Cinnamond: Well, I can certainly speak to liquidity. Like I said, we've got $700 million on the line there available, and we've got close to $500 million in cash. So then, there's the balance sheet date. So, we feel comfortable doing what we think we need to do on the capital project side, and it's certainly, our goal to maintain a dividend. We will look at the components of our capital return from time-to-time as we look also at our capital outlays. So, I think it's something that, we'll monitor, as we have like some of the get to near close to the end of some of our larger capital projects, but we certainly feel comfortable with our, the level liquidity that we have. Clive, I don't know if you want to add anything to that.
Francisco Costanzo: Okay. I think that's helpful. That's all for me.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Clive Johnson for any closing remarks.
Clive Johnson: Okay. Thanks, operator. Thank you everyone for joining us on the call. We always like to end these calls I guess with a bit of a discussion of what's coming up in terms of reminder of the catalyst coming up, some of them in the we expect in the near-term. So, we're looking forward to maybe our discussions with the government of Mali and [Indiscernible] agreement on the way forward, which will include, of course, receiving an exploitation license to start trucking ore down the Fekola Mill from the regional targets. In addition, that will trigger significant exploration, starting up again in the regional to fully define the value of Fekola complex. We will have detailed updated budget for you on the Goose construction capital costs, early this week in September and we continue to work away on Gramalote as we mentioned on the feasibility study. Goose exploration, we've been doing some exploration work on and do some of the infill drilling but also starting to test some new targets. And we should have some new round of exploration results from some of these new targets. We're down plunge for existing targets, et cetera, by sometime in November to look forward to putting up some more results. In the meantime, we've just I think we've explained, I hope, how we have recovered in Fekola from a rare event, the unacceptable tipping over the conveyor and how we're recovering from that, as Bill pointed out. And those are our ounces that are lost, those are our losses that move those 50,000 ounces into next year. [Indiscernible] Bill told you construction is going extremely well in that Goose. Logistics and construction expertise are really keeping in and showing how well we do these types of projects. So, with that, a transitional year, a challenging year for B2Gold as we've signaled before. It's got fewer challenges here at the end of the day. Solving problems and dealing with challenges head on is what we do and have done for a long time. So, I'm very confident that we're going to continue to perform well as we go through this year, and we're actually excited about the future potential growth, as I pointed out earlier by developing existing assets, including Fekola Trucking Goose and ultimately potentially Gramalote as well and lots of exploration to happen to many, many areas throughout the Company's portfolio. With that, I would thank you all for your time. If you have any follow-up questions, get in touch with Michael McDonald. And thanks for your time. And operator, thank you.
Operator: This brings to end of today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.